Operator: Good afternoon and welcome to the Mobivity Second Quarter 2022 Earnings Call. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Brett Maas. Please go ahead.
Brett Maas: Thank you, operator. I'd like to welcome everyone to Mobivity's second quarter 2022 earnings call. Hosting the call today are Dennis Becker, Founder, Chairman and Chief Executive Officer; and Lisa Brennan, Chief Financial Officer. Before I turn the call over to management, I'd like to call everyone's attention to the company's Safe Harbor policy. Please note that certain statements made on this call will be forward-looking statements which are subject to considerable risks and uncertainties. We caution you that such statements reflect management's best judgment based on factors currently known, that the actual events or results could differ materially. Please refer to the documents filed by the company from time to time with the SEC and in particular, its most recent filed annual report on Form 10-K. These documents contain and identify important risk factors and other information that may cause actual results to differ from those contained in the forward-looking statements. Any forward-looking statements made during this call are being made as of today. If this call is being replayed or reviewed after today, the information presented during this call may not contain current or accurate information. Except as required by law, the company assumes no obligation to update these forward-looking statements publicly or to update the reasons actual results could differ materially from those anticipated in forward-looking statements even if the new information becomes available in the future. Today's call may include non-GAAP financial measures which require a reconciliation to the most directly comparable financial measures which are calculated and presented in accordance with GAAP and can be found in today's press release, along with our recent corporate presentation which is also available at mobivity.com. With all that said, I'd like to now turn the call over to Dennis Becker. Dennis, the call is yours.
Dennis Becker: Thank you, Brett. And I appreciate everyone taking the time to join us on our call today. During the second quarter of this year, our team made amazing strides to expand and build our business while pioneering exciting new solution we're now calling Connected Rewards. Connected Rewards uniquely addresses the mounting challenges facing brands and digital operators as tectonic shifts in tracking and privacy protections unfold. Mobivity's technology allows digital-first businesses such as mobile and set-top gaming, to leverage our reach into millions of consumers frequenting thousands of major restaurant, fuel and convenience store locations to acquire and retain customers in ways they cannot in the new privacy era. Mobivity is the solution to the biggest challenge facing mobile marketing and we've taken enormous steps toward rapid growth. Thanks to our team's innovation and founded upon years of developing integrations into the point-of-sale infrastructure of leading brick-and-mortar brands, we have quickly brought to market a unique and differentiated intersection of brands, game publishers and advertising networks. We make possible a digital voucher that can be delivered during gameplay or other digital activities to millions of consumers in instantly redeemable online or any one of thousands of restaurants, fuel or convenient store locations. This is a capability that we believe is truly unique to Mobivity. Consumers can now discover games and other digital services and earn instant rewards during gameplay or everyday experiences at their favorite food, fuel and convenience stores. Conversely, digital operators can instantly deliver real-world rewards to incentivize customer acquisition or in-game behavior. Mobivity powers valuable consumer interaction and has begun building a valuable business model around these interactions. I'm excited to report that during the second quarter, we continued to scale and demonstrate the value of Connected Rewards through expanded programs while attracting several new brands, gaming partners and other partnerships that we believe are set up for accelerated growth throughout 2022 and beyond. I'd now like to go into a bit more detail on our growth model and why we're so excited by the progress we made during the second quarter. With our Connected Rewards sitting at the intersection of brands and gaming audiences, we generate revenue through transaction and subscription fees from each of these stakeholders. As we increase the number of brands, gaming businesses or other businesses, utilizing our connected rewards platform to transact incentives to consumers, we are creating a powerful network effect and delivering incremental value to every participant on our platform. For example, say a restaurant brand like Sonic wants to engage gamers in an effort to bring more customers to their stores or attract consumers to their smartphone app. Mobivity brings as many gaming publishers into our Connected Rewards platform so that Sonic has the largest reach and broadest demographic possible. Equally, gaming publishers see the benefit from our extraordinary reach in the brick-and-mortar restaurant and convenience space. Finally, we then benefit from the increased transaction volumes and other subscription fees related to the size and reach of these programs. In other words, our growth accelerates when more brands, gaming publishers and other digital businesses work with our Connected Rewards platform and the second quarter exceeded our expectations. First, we expanded our gaming industry partnerships by bringing in 2 additional partners who produce dozens of top-ranked mobile games that reach tens of millions of consumers. These new gaming partners use our Connected Rewards to deliver real-world incentives when consumers download and play games by integrating into the experience of installing a game on your phone or within the gameplay itself. These new partners have already executed promotions with several of our restaurant and convenience brand customers late in the second quarter and the results are leading to expanded programs through the remainder of the year. We've been overwhelmed with the response from gaming partners and expect additional gaming partners to execute initial campaigns sometime in September. We also saw incredible growth in demand from brands who want to use our Connected Rewards to get into games. In the first quarter, we had launched just a couple of trials with restaurant brands and one convenience store brand where consumers could earn food and fuel rewards by playing games. In the second quarter, we added 5 additional restaurant brands and have an exponentially growing pipeline of additional restaurants and convenience brands we're launching in the third quarter. Next, late in the second quarter, we attracted new partnerships with advertising networks focused on the gaming industry. These ad networks are building new advertising campaigns using our Connected Rewards platform to deliver real-world rewards as consumers interact with game advertisements in new ways. For example, a consumer may be playing a popular Xbox game and receive a free pizza at Papa Gino's for achievements in game or watching a Pepsi commercial. These partners combine for billions of in-game impressions. This will add significant inventory to sell to brick-and-mortar brands seeking gaming audiences. In these transactions, Mobivity earns revenue for advertising impressions and when rewards are delivered to consumers. We expect these newly acquired in-game advertising partners to begin campaigns sometime in the third quarter. Last but not least, is a new partnership we initiated in the second quarter that I'm particularly excited about. Our growth engine is centered around leveraging the network effect of our Connected Rewards platform where consumers receive value from his broad of a portfolio of goods and services as possible. At certain times, some of the rewards we will offer will be more valuable to consumers than others. In Q2, fuel prices were a pain point for consumers. And given our deep integrations in the convenience industry, we saw an opportunity to capitalize. We began working with a new partner that will bring more than 65,000 fuel stations to our Connected Rewards platform. This means that very soon, we'll be able to employ a variety of fuel discount offers such as for a dollar discounts and price per gallon discounts at practically every fuel station across the U.S.A. Imagine getting $0.20 off at any Chevron for earning points in a mobile game or receiving a voucher to your phone for $2 off at any Exxon with the purchase of a foot long sub at Subway. By adding instant access to discounts and rewards at major fuel stations across the country, we will dramatically enhance the overall value of the Connected Rewards platform to gaming publishers, brands, retailers, consumers and beyond. These are highly profitable interactions and could not be powered by any other technology than Mobivity's. We're looking forward to reporting on our progress on this initiative throughout the remainder of the year as we're already launching commercial programs. Finally, I want to highlight that transaction fees earned through our Connected Rewards platform are multiples higher than our traditional business of delivering SMS text messages from brands directly to their own guests. While brands value engagement with their existing audience, a higher premium is paid for bringing in new customers, reclaiming lapsed guests or acquiring customers who order and pay online where margins are higher. As we've said on previous calls, our previous business delivered cents per interaction, while this new business delivers dollars. While we're still in the early innings, we expect the impact to our top line to become increasingly evident as we launch in scale Connected Rewards programs. I will now turn the call over to Lisa for a more detailed view of our second quarter financial results and then I will come back for a few summary comments. Lisa?
Lisa Brennan: Thanks, Dennis. We ended the second quarter with approximately $1 million in cash. We completed a pipe financing in Q2 which contributed $850,000 of cash to our balance sheet. Plus, we recently extended our current credit facility to $6 million. We're confident that our cash on hand is sufficient to continue expanding the connected Rewards business. Revenue for the second quarter of 2022 was down 33% compared to the same period in 2021. This was primarily due to a large nonrecurring SMS tax messaging program executed in 2021, plus another contract for our legacy Smart receipt product that was put on pause due to the pandemic. Revenue from our new Connected Rewards solution did begin to ramp in the latter part of Q2 this year and we do expect to see a resumption of overall growth in our top line, thanks to the accelerating momentum of this new revenue stream. Gross margin for the second quarter was down 18 percentage points compared to 2021, again, primarily due to the suspension of our legacy customer contract for smart receipt from last June. It's still early but we're very excited by child pricing models we've employed with our new Connected Reward solution and do expect to see material expansion in this area, as this new channel grows into a higher proportion of overall revenue. Total operating expenses for the second quarter of 2022 decreased by 16% to $2.6 million compared to $3 million in the same period in 2022. Reduction in operating expenses is due to decreases in legal expenses and sales and marketing expenses. We expect our expense profile to remain at this level as we expand Connected Rewards through the remainder of the year. Though we’re seeing the effect of some onetime events on our financial profile. We cannot be more excited about the future of our business, given the scale, gross margin profile and realigned corporate structure and our strong financial position and the support of investors, we are well positioned to capture the opportunity that is Connected Rewards. I will now turn the call back over to Dennis for his closing remarks. Dennis?
Dennis Becker: Thanks, Lisa. It's been an incredible journey throughout the first half of this year and I applaud everybody at Mobivity for their hard work and dedication in getting Connected Rewards off the ground and making it a success. In a short period of just 6 months, we've launched and proven a valuable and proprietary solution to optimize the acquisition and retention of customers that expands upon our place at the intersection of online and off-line audiences. We have expanded partnerships with new game publishers while establishing a powerful network attracting new categories like fuel and digital advertising networks. Reaching more than 65,000 fuel locations, billions of in-game ad impressions, millions of gamers and millions more consumers frequenting restaurants and convenience stores, this new growth engine is poised to grow profitably and rapidly. Hats off to our amazing team here at Mobivity for stopping at nothing to capitalize on the transformative opportunity that Connected Rewards presents. I look forward to reporting on our exciting progress as the year progresses. Thank you for tuning in and for your continued interest in Mobivity. We'll now open up the call for Q&A.
Operator: [Operator Instructions] Our first question will come from [indiscernible].
Unidentified Analyst: Dennis, I was wondering if you might be able to comment a little bit on the revenue outlook for the back half of the year.
Dennis Becker: Sure, Rob. So we're not going to give a forecast in terms of specific numbers. But we do know now is that the programs that we've been running and again, talking about the exciting kind of acceleration and ramp we saw in the second half of the second quarter. We're seeing that the programs are definitely in high demand and we're -- that demand seems to be increasing both from the gaming industry, specifically but also from the restaurant brands and the convenience store market that we focused on. And keeping in mind, again, that the revenue profile is a lot more interesting from all of these new programs, whereas in the past, we used to make kind of pennies or fractions of a penny on every transaction and now we’re making dollars when we run promotional programs, gaming publishers, get and acquire game downloads from the Sonics of the world or Circle Ks and we’re making dollars on those transactions. So as we’re expanding the reach of these programs as well as also expanding verticals, I mentioned where we’ve now got an exciting opportunity in the fuel industry. We really expect that revenue to expand. And again, given the magnitude of the new revenue profile versus our former revenue model, we’re expecting a higher impact there. So we’re really happy with the pipeline. The audience of customers that we have. We’re excited these programs that we’re currently running. We’re going to ran a lot more in the next couple of months and that’s what we’re really expecting to see the reach of these programs expanding every day.
Operator: All right. And with no remaining questions, we will now conclude our question-and-answer session. And with that, this concludes today's conference call. Thank you very much for attending today's presentation. You may now disconnect your lines.